Liurong Sheng: Dear investors, analysts and friends from the media, ladies and gentlemen, good afternoon. I would like to welcome all of you to the CCB 2023 Annual Result Announcement. I would also like to take this opportunity to thank you for your continued interest, trust and support. For today's annual results announcement, we have for Beijing and Hong Kong, and the meeting is conducted via video linked. In the meantime, we also have online platform open to all the investors and public, and it is being live streamed. In Beijing, we have our Chairman, Mr. Zhang Jinliang; Vice President, Mr. Ji Zhihong, Mr. [indiscernible], Party Secretary, Mr. [indiscernible]. Present with us in Hong Kong, we have our Vice President, Mr. Wang Bing; General Manager of the Accounting Department, Mr. Liu Fanggen; Credit Department, Mr. Li Jun. In the meantime, we also have our directors -- Independent Directors as well as the relevant other department heads from the headquarter. And I myself, I'm the CFO of the company. And our result announcement have already released officially on the 28th of March, and the relevant results, you would be able to read upon our website. For today's result announcement, we will first have Mr. Zhang Jinliang, our Chairman, to give a speech and followed by the Q&A session. So we now welcome Mr. Zhang Jinliang.
Jinliang Zhang: Dear investors, analysts, friends from the media, good afternoon. I would like to welcome all of you to the CCB 2023 Annual Results Conference. I would also like to thank you for your continued interest, trust and support. In 2023, CCB adhered to the guidance of Xi Jinping's Thought on Socialism with the Chinese characteristics for a New Era, thoroughly implemented the spirit of the 20th CPC National Congress, the Central Financial Work Conference and Central Economic Work Conference, fully accurately and comprehensively carried out the new development concept and adhered to the correct concepts of the business operation performance and risk, and we can see that. So we have achieved very good results in the high-quality development. By end of 2023, the group's total assets amounted to RMB 38.32 trillion and total liability amounted to RMB 35.15 trillion. The group realized a net profit of RMB 332.46 billion for the whole year, an increase of 2.34% year-on-year and made progress in operation and improved quality in a stable manner. NIM 1.7%, ROA 0.91%, ROE 11.56% with the core indicators stable and balanced. NPL ratio, 1.37%. Provision coverage ratio, 239.85%. Capital adequacy ratio 17.95%, and asset quality is generally stable. We focus on the main responsibility and the main business and continuously improve the quality and the efficiency of serving the real economy promoting the integration and development of the 3 business sectors and constantly improving the level of comprehensive financial supply whilst strengthening lean management and building a more agile and efficient operation foundation. We focus on risk prevention and resolution in key areas, taking the initiative to expand and upgrade the intelligent risk control system in an all-round manner, keep the risk bottom line and build a financial safety net. Promoted the integration of ESG into the bank-wide operation and management, share diversified values, help improve people's livelihood and promote low-carbon transformation. With our MSCI ESG rating upgraded to AA, our bank continues to maintain the leading large global commercial bank status. The year 2024 marks the 75th anniversary of the founding of the People's Republic of China and coincides with 70th anniversary of the establishment of CCB. Looking back, generations of CCB people have been in the same boat through thick and thin and have been marching forward. From the early days of its establishment, when it said, whenever there is a key construction, there is a CCB, to the first stock reform and listing, CCB under the strong leadership of the CPC Central Committee has always stood at the forefront of China's financial reform, strived to fulfill the responsibilities of a large bank and explored and formed the differentiated and unique development path of CCB in the new era in the process of serving the high-quality economic and social development, realizing the harmonious unity of economic value and social value and gaining the support of all sectors of society. In the process of serving high-quality and economic social development, CCB has explored and formed a differentiated and distinctive development path. We continue to build on the past and move towards the future, standing at a new developing point and a new journey to build a strong financial country. We will thoroughly implement the spirit of Central Financial Work Conference and never forget the original intention and maintain strategic determination, open up a more efficient, more sustainable and safer, high-quality development road from the perspective of loan terminism and professional integrity and innovation, the people's insight so as to win customer recognition, shareholders' trust, employee trust and social recognition. We will adhere to our main responsibilities and duties, anchor ourselves in excellence and strength deeply integrated into the overall situation of the country's development and serve as the main force of the real economy and the balance the -- financial stability. We will closely follow the construction of modernized industrial systems seize the new direction of upgrading traditional industry, growing new industries and cultivating future industries, actively embrace the new quality of productive forces and comprehensively improve the overall financial services. We will actively push forward the strategic transformation, focusing on 5 major areas. Transforming CCB is a first-mover advantage in areas of technology, inclusive financing and the pension into leading advantages and construct a new competitive advantage for CCB in the era of digital economy. We'll continue to strengthen our foundation, focus on fundamental, long-term and the systematic issues in the development and incorporate link management into customer operations, business process, risk management and resource allocation to continuously enhance operational efficiency and effectiveness. We will carry forward CCB's fine tradition of prudent integrity, innovation and pioneering, vigorously promoted a financial quarter with the Chinese characteristics and create value for our customers, shareholders and stakeholders in a sustainable manner. Finance is like a marathon race to withstand the test of the long cycle. It's necessary to know where we are in China's new stage of development and better understand the laws of nature of financial. We no longer put too much emphasis on scale and speed, but better coordinate the total volume and structure, scale and efficiency, short term and long term, local and regional development, and security to avoid single-minded, one-sided and shortsighted business objectives, and we will realize sound, balanced, coordinated and sustainable development. In the new year, in the face of the operating environment, where opportunities and risks and challenges coexist, we will prioritize quality and efficiency based on the basic elements of assets, liabilities, capital income and costs on financial statements. We will put structural adjustment and quality and efficiency enhancement in a more important position and push forward the quality development. First, we will optimize the asset structure. While maintaining a steady growth in total credit volume, we will pay more attention to revitalizing existing assets and structural adjustment as there are always some give and take. We will do a good job in asset allocation. We will continue to reduce inefficient assets and strive to keep our net interest margin at a comparable leading level in the industry. Secondly, the quality of liabilities will be enhanced. We will quickly upgrade the capacity of the bank for taking corporate funds, set up measures to stabilize and increase deposits and manage the quality of liabilities and enhance the stability and diversity of liabilities and better match liabilities and assets, take the initiative to acquire liabilities, keep the cost of liability at a reasonable level and only take up appropriate liability projects and achieve balanced development. Thirdly, we will enhance the quality and efficiency of capital. We will tap into the potential of our own capital, strengthen the transmission of capital pressure and adhere to the balanced development model of volume, price risk and capital. We will see the opportunities from new capital regulations, align business strategies and management roles and continuously improve the efficiency of capital utilization at our return level. Fourth, we will improve the quality of income. We respect the pattern of operation and adhere to commercial sustainability. We will strengthen the lean pricing management in asset liability and stabilize the basic net interest income. We will insist on creating value through services, cultivating new momentum of immediate -- [ intermediary ] businesses, and enhance the contribution of noninterest income and maintain the leading level of profitability and core indicators. Fifthly, we will improve cost effectiveness, will conscientiously implement the important instruction of General Xi Jinping to insist on doing everything diligently and thriftily, bearing in mind bigger picture insist on seeking benefits from cost management, improved output and operational efficiency and keep the cost-to-income ratio at a reasonable level. We're aware that CCB cannot develop without the trust and support of hundreds and millions of customers and long-term support of shareholders as one of the first state-owned banks to be listed after joint stock reform. CCB has a diversified equity structure and a team of directors. We will always pay attention to safeguarding the rights and interests of shareholders, especially small and medium shareholders and sharing development achievements. Since the IPO, we have paid more than [ CNY ] 1.1 trillion of dividends cumulatively. The Board meeting held last week proposed to distribute cash dividends to all shareholders of RMB 0.4 per share for FY 2023 totaling more than RMB 100 billion, which continues to create considerable cash returns for shareholders. At the same time, our capital adequacy ratio is at a high level among domestic and foreign banks laying a solid foundation for long-term sustainable development in the future and maintaining a stable dividend capacity. We will continue to safeguard the legitimate rights and interests of customers, shareholders, employees, society and other stakeholders actively respond to the concerns of customers and investors, incorporating ESG, environment, society and governance into strategic decision-making and operation management and strive to become a world-leading sustainable development bank. Thank you all.
Liurong Sheng: Thank you, Chairman. We'll now go into the Q&A session.
Liurong Sheng: [Operator Instructions] We now pass the first question to Beijing conference, and let's welcome this gentleman in the third row.
Unknown Analyst: I am [indiscernible] Securities. I, first of all, would like to congratulate CCB for achieving such amazing and stable financial performance. So what are the main drivers for this, for 2024? And which are the highlights that we can look forward to? And what is your outlook for your profit?
Liurong Sheng: Thank you very much for your question, and we'll have Chairman Zhang to answer this question.
Jinliang Zhang: Thank you very much. So we have already heard in the report for all these years and CCB has adhered to the correct views on risk. And in the meantime, we also focus on our strategy and focus on long term. In 2023, our performance, it is in line with our expectation and in terms of the data, it's quite good, and we can say that we have made progress in stability, and it is quite well balanced. And the stability is well reflected in our main business growing stably and in terms of our net margin has grown by 2.34%, and the progress really reflected in terms of our quality as well as the volume have both increased and the foundation of the customers' accounts continue to be consolidated and continue to have better financial efficiency. In terms of what balanced is reflected by our ROA, ROE and NIM, they continue to be leading among our peers. And for our CAR ratio continued to remain at a good level. We have been able to realize the good balance of safety, liquidity and profit. In terms of specifically, and we have done well in terms of the income as well as cost management. So first of all, taking a look at our income. So first is that we have been able to stabilize the net interest income, and we have been able to coordinate the structure of volume and price. In 2023, first of all, in terms of our interest earning assets on a daily basis has reached RMB 36.2 trillion. It is up by 13.11% year-on-year. Not only that it has helped with the real economy recovery. It has also offset the narrowing of NIM, and the second is that we have strengthened our pricing management. So with the overall interest decreasing background and we had been able to further actively strengthen our price management, we have been able to maintain our differentiation and a very detailed pricing system, and our NIM continues to maintain at a leading position. And thirdly is to optimize the structure. In 2023, we have been able to slow down our NIM decreasing trend. And in terms of our loans and the financial investment as well as other core investment, its percentage has increased by 0.3% and low-income asset, its percentage continue to be on the decline. In the meantime, we continue to strengthen our retail mortgage -- retail loans. And in terms of our mortgages continue to be number -- at the forefront of the market at about RMB 1.08 trillion. And in terms of personal loans and credit card loans as well as consumption loans, their growth has maintained at 7.8%, 42.7% and 87.2%, respectively. Second, we push forward for noninterest income. This is a very important factor for a successful transformation of a bank. And in 2023, our noninterest income, and if we use the H shares calculation method, its percentage is 17.2%, up by 2.2% and according to A share calculation, it is up by 1.9% at 19%. So in terms of supporting real economy, reducing fees and giving away benefits continue to improve our comprehensive service capabilities, continue to push forward for business transformation for instance, syndicated loans of financial advisory, credit card asset management, trust, et cetera, we continue to push forward. Last year, we have realized fees and commission net income almost about RMB 1,015.7 billion, continue to at a good level for the other noninterest income. We continue to follow the market and actively respond to the market fluctuations of the stock market and bond market. And you can see that for our noninterest income, and we have seen a recovery growth last year in terms of lowering cost and one is to lower our funding cost. In 2023, in terms of the deposit interest driven continues to improve. And we have also reasonably adjusted our deposit interest level, and we continue to focus on digitalization transformation, and we continue to solidify our customer base in 2023. Our institutional customers have exceeded 10 million and unit RMB settlement account has exceeded 15 million and individual accounts, over 750 million. In the meantime, we continue to grasp the funding from the source and to continue to increase our low cost and high value loan operation capability in 2023, in China, for our interest paying is 1.74% and it is down by 9 bps year-on-year. And for corporate deposit, the interest rate is 1.65%. It is down by 2 bps year-on-year. Secondly, we continue to work hard to reduce our operation cost. We continue to improve the efficiency. Our cost/income ratio is 28.39%, maintaining at a very good level among our peers. Looking at it from [ scratch ], we have been able to make sure that there are areas that we can maintain and areas where we can compress the cost further, and we have been able to stringently control the low efficiency or no impact cost expenses on the other hand, and we continue to further expand our strategic business. And in terms of our fintech investment, it has gone up to 3.34% in terms of our operational income. In the meantime, we continue to speed up our operation efficiency as well as AI and technology adoption and to further reduce operational costs. Thirdly, we continue to make sure that risk prevention is the forever theme of our business, and we make sure that we control these risks at the forefront, and we have been able to realize a very good and effective overall risk prevention. We have mentioned that our NPL ratio is 1.3%, it is down by 0.01% year-on-year for our special mention loans and overdue and default, et cetera, these indicators are very stable. In recent years, for CCB, we continue to push forward for our strategic transformation, in terms of technology, inclusive finance and pension. We have all [indiscernible] forward looking explorations, and we have first mover advantages. For instance, we're the only one pilot institution of the banking industries reform within the Ministry of Technology, and our finance -- inclusive finance has already established its scale and a brand, and we're the only one that enjoys a pension financing license within industry. And for the next step, we will continue to work hard and to make sure that the first-mover advantage will be able to turn this into our competitive edge. We have 5 areas that we focus on to provide differentiated services and the competitiveness. We continue to make sure that our NIM, ROA, ROE, our cost/income ratio and these core indicators are all well balanced, and we try our best so that we maintain a leading edge among our peers. Thank you for your question.
Liurong Sheng: Thank you, Chairman, Zhang. Now we will take a question from Hong Kong.
Unknown Analyst: Good afternoon, management. [indiscernible]. In 2023, we noticed that the increase of loans by banks concentrated in Corporate banking. So in which industries did you invest your loans? And are there still robust demands from these industries? As the regulators vow to revitalize low efficiency existing financial resources, what are the measures that the bank is going to take?
Jinliang Zhang: Mr. Wang is going to take the question. Thank you.
Bing Wang: As you have observed, corporate loans are the main source of the momentum of loans last year. In 2023, the loans -- corporate loans were RMB 14.34 trillion, an increase of RMB 2.26 trillion compared with the beginning of the year, or a year-on-year increase of 18.7%. In terms of industries, we will commit ourselves to the instructions of the CPC Central Committee and the state counsel, and we will allocate resources into the shortcomings and areas where improvement is needed, especially in emerging industries, green loans happiness industries. In these areas, the increase of loans have surpassed average growth. And in green loans and emerging industries, the growth rates were 52%, 48%. In 2024, we will export loan business focusing on the 5 aspects. And in this year and the beginning of this year, in major industries that was good momentum in loan extension. Looking at the whole year, a package of fiscal measures to stabilize growth will pay off. In the first quarter, the expected economic growth is better than expected with an upward momentum. We have good projects in the pipeline for Corporate banking business. So we expect that the incremental value from Corporate banking will be as the same as last year, which will achieve a 2-digit growth target. While China is speeding up modernization and new productivity force, size and technology, innovation, green energy and high-end manufacturing continue to have very strong demand for loans. So we will improve our financial services to meet the demand and continue to increase loans in these key areas, so we can optimize the credit structure of the bank. You mentioned the regulatory instructions to revitalize existing financial resources. Well, we understand that China is shifting from high-speed growth to high-quality growth. Of course, credit growth will need to be aligned with that trend. So we need to accurately grasp the patterns of demand and supply of credit services and new features, we will coordinate a total volume and structure and existing volume and new loans. So while the total credit loans are increasing, we need to better coordinate the existing loans and new loans to better optimize the structure of our loans. Last year, the total credit volume was RMB 23 trillion last year, that loans invested were 5x the incremental volume. So there was a huge existing volume of credit supply. So we need to coordinate incremental loan supply and the existing assets. That's the first aspect of our work ahead. Second of all, we will better utilize the market to revitalize the existing financial resources. Bill financing and transactions will be better used, and we will actively explore other asset securitization methods, including REITs to revitalize existing credit resources, and through nonperforming loan securitization and NPL write-off, we can better -- do a better job in quality management of credit. Second -- thirdly, we will do a better job in direct financing. And CCB, as a group, has multiple financial licenses. And going forward, we will look at the new momentum from new areas and through innovative equity financing and debt to stock conversion, and we will meet the customers' demand so we can better allocate financial resources. Thank you.
Liurong Sheng: Thank you, Mr. Wang. We welcome a question from Beijing. So in Beijing, we have this lady, in row 4.
Unknown Analyst: My name is [indiscernible] from Citibank. I have a question with respect to asset quality. We can see that last year, the external environment is quite uncertain. However, CCB's asset is still quite stable. So this is thanks to what measures you have taken. And in terms of the asset quality in specific areas and what is the trend? In addition, we would also like to ask the management team in terms of the NPL for this year? And do you think that you would be able to maintain a stable asset quality for this year?
Liurong Sheng: Thank you for this question. We have Mr. [ Li Ming ] to answer this question.
Unknown Executive: Thank you for the question. For CCB, for our whole bank by the end of 2023, NPL ratio was at 1.37% for the various core asset indicators. We have maintained them at a reasonable range. Overall speaking, we have met the target that we have set out for our asset qualities for CCB. We have been able to maintain this. And it is thanks to -- first of all, that we continue to adhere to long-term optimized credit structure and adhering to the selection of the customers. And second is that our long-term prudence in our operation, we have strengthened our management of loans and in the meantime, we have been able to maintain a very good risk offset level and to have plenty of provisions. Thirdly is that we have always maintained a bottom line, for instance. We focus on the management of special management loans, and this is a unique feature of CCB management. Through further strengthening and focusing on first institutions, especial mentioned loans and for their monitoring and to have an early warning system so that for these NPLs, we would be able to take measures early on. In terms of the important areas of risk prevention for risk, for instance, in real estate in 2023 and the whole year, real estate loan structure is reasonable, and NPL is roughly the same as the previous year, and the overall level is in line with our expectations. In terms of local government debt-related business at the moment, the structure is relatively stable and it's mainly in provincial level and city level as well as the customers that they have good asset qualities and plenty of risk offset capabilities. And for 2024, we believe that we would be able to maintain the stability of asset quality. On one hand, looking at the external environment for the macroeconomic situation, it is rebounding. And for important areas, the government have launched various measures, and we continue to see the result of such measures. For CCB, in terms of our new loans, and it is very reasonable, it has also helped with the optimization of our loan structure. So we already have heard from Mr. Wang Bing in terms of corporate loan and its expansion. Looking at the bigger loan division, and we continue to maintain as a major retail loan bank. And despite the impact from the market for our individual NPL has increased slightly. However, overall speaking, it is still at a low level, and we do believe that we are still at a good level among our peers. Overall speaking, in terms of the asset management, foundation is very solid. For the whole bank, in terms of overdue and the negative overdue scissors is continuous to be at a negative level, and we would say that in terms of our asset quality and this really reflects our forward-looking views and reflects the prudent attitude of CCB. Looking at the whole bank in terms of the provision coverage ratio, it's 239.85%. And for this figure, again, this has provided us with plenty of NPL buffer. So in the meantime, we also understand that there's a lot of uncertainties in terms of a global economy, and it's a growth for CCB. We will continue to maintain prudence and to face up to the challenges and uncertainties to have our solid work and to continue to ensure the stable asset quality.
Liurong Sheng: Thank you. Now we will take another question from Hong Kong.
Unknown Analyst: From UBS. I'd like to ask a question about your NIM. NIM is always your advantage, and your NIM is the highest among all the peer banks, given the current pressure as Chairman Zhang said, and given that this year, you are supposed to serve the real economy in the low interest environment, whether the strategic measures are in place to face the pressure of NIM. Can you please give us your predictions of the downward range of NIM -- or NIM in percentage points?
Bing Wang: I think you asked the same question last year. I will take this question. As you observed last year, NIM across the industry was going downwards. There were a few reasons. First, after the pandemic, the economy has recovered, but it has not been stabilized. So to support the real economy, the government has reduced the comprehensive financing cost. As you have observed, LPR was revised down twice, leading to further loan rate reduction of the bank. And there was also the factor of repricing of existing loans. So overall, NIM across the industry has gone down, but the reduction level varies from bank to bank. It has to do with customer structure, business strategies and product mix. Chairman Zhang mentioned that the NIM in 2023 of our bank was 1.7%, which puts us at a leading position. We have looked into the structure of NIM. On asset side, there was a reduction of 21 bp. And on liability, there was an increase of 10 bp. So there was a bigger reduction in asset side. If you look closer, the return on loans, 35 bp and bond investment were down by 14 bp. So the reduction is higher with loans. For deposits, the situation is better. As Chairman Zhang said, there was some reduction in RMB denominated bonds. And last year, there was the increase in the interest rate of the U.S. dollar, which leads to higher interest-bearing rate. But our NIM is still comparable to the best banks in the industry. Last year, we took different measures to defend the reduction of NIM. First, we balance volume and pricing. Last April, we had an all-hands meeting to push forward high-quality development. Chairman Zhang mentioned that the bank would shift the focus away from scale to high-quality development, and it will be committed to long-term high-quality development. And that's why we did a lot of things in Q2, we adjusted asset liability structure. As Chairman Zhang said in the opening remarks, there were 2 things. First, interest-bearing assets, the percentage is increasing. Interest-bearing assets are increasing faster than the overall growth rate of assets by 2 percentage points. Second, among the interest bearing assets, high return, high-yield assets have seen an increase of 3 percentage points in its share. Last year, corporate loans, retail loans, those credit loans and personal financial loans have seen good growth rate. Last year, given the downward trend of LPR, the return on loans and the gap between personal loans and treasury bonds and local government bonds are narrowing. On the one hand, we support the real economy. And on the other hand, treasury bonds and local bonds have a very high profit after tax. So it provides a strong support to our profitability. Some analysts might be interested to know that last year, we took a lot of measures to reduce the assets which only deliver low returns. For example, some financial assets that we bought back and so again, we have reduced this type of assets by 2 percentage points. So in this way, through structural adjustment, we can slow down the reduction of return on the asset front. On the liability front, we also adjust our structure through internal measures and different assessment methods. We guide the bank to pay more attention to those loans with a high interest paying rate with a 3-year or more term. So last in Q3, we have reduced our assets. And probably, it will affect our market share. But going forward, we believe this is something that will pay off. Last year, our trust -- custodian assets were over RMB 30 trillion, and this will push forward the increase in loan interest. Last year, RMB deposits have seen a tipping point. And this year, this will give some leeway for us to control deposit cost last year started from Q2. There were some measures to encourage branches, but we adjusted these measures, and we also guide the branches to reasonably reprice their loans so they can keep their return rate on a reasonable level, given the low LPR. Through these measures, we have seen some tangible results. As you can see, our NIM is leading the industry. As for 2024 and the trends of NIM in 2024, as you have seen, we have seen the macro data of the first quarter when the positive signs is that the manufacturing PMI has come back to a range of over 50. And the total number of orders has also improved. And recently, some international organizations and other Western banks have revised up the expectation, the forecast of China's economy. So we can see some recovery in short term. Of course, the recovery must be supported by good policies, including those measures by major banks to support the economy. And in the government report, it's also stated that the comprehensive financing cost must be reduced further. And the PBOC officials also said that there will be further room for fiscal policy, monetary policies and triple reduction. So we believe on the deposit side, there will be further room for reduction of LPR. In 2024, while optimizing asset structure and delaying the reduction of asset returns, we will also focus on corporate banking business and control the reduction range of liabilities. Of course, there are market reasons. There are LPR reductions. We can address these problems through asset liability matching and also structural adjustment. In this year, we have strengthened the assessment of Tier 1 branches, especially targeting at their high interest deposits with a 3-year term or above. Now we have unleashed policies. At the same time, we will control the interbanking liabilities with high cost. At the same time, we have reduced the term of some low interest-generating assets. At the same time, as Chairman Zhang said, we need to establish an enterprise level financial cycle through digitalization and ecosystem. We can achieve low-cost settlement fund. In general, through refine management, we are confident that in 2024, we can keep our leading position in NIM across the banks going forward.
Liurong Sheng: Now we will take another question from Beijing. We have this lady on the left in row 3, please.
Unknown Attendee: I'm from Xinhua News Agency. I would like to ask a question on pension financing, and we know that aging population continues to speed up in China. And in the government, we have also launched quite a lot of measures in terms of pension and insurance and all these pillar systems. So what are your plans and deployment in the pension financing sector?
Liurong Sheng: So we have Mr. Ji in Beijing to answer this question.
Unknown Executive: Thank you for your question. For -- our central government continue to pay great attention to population -- aging population issue and especially that this has laid a solid direction for our business for CCB. Not only that, this is our responsibility. It is also about high-quality transformation for our business. This is a great opportunity for CCB in quite early days. In June 2022, we have established a group level pension fund leading team, and we have built up a system and the solution for 1314 pension financing services. We have made sure that this is a very urgent responsibility that we need to undertake. And for the past 2 years, we have continued to work hard and achieved a series of result. And in the first pillar, it is really about improving the customer experience by end of 2023. The pension card issuance has exceeded a 700 million cards. And the second pillar is that we continue to expand the coverage scale, we continue to improve the guarantee quality by end of 2023, where pension fund under asset management has exceeded RMB 500 billion, and the investment scale has exceeded RMB 100 billion, and the investment performance continued to be at the forefront among our peers. The third pillar, we continue to focus on individual pensions. And recently, we have seen the pilot opportunities, and we continue to see the various opportunities for instance, opening up of a pension account, et cetera. And we have been able to win this battle so far. And so far, the opening account number has already exceeded 10 million. In addition, we also have a pension industry and pension ecosystem continue to grow and for CCB, we continue to see our pension business expand at a very fast scale. And so we have worked with the great partners in the pension area and overall speaking, it covers a very wide coverage. And in the meantime, it is also a very important business that is a very comprehensive, and this is a systematic business that will continue to target this [Audio Gap]. You can say that in terms of creating value for the citizens and to build up on the innovative products and building a CCB differentiated product and will speed up this work will continue to strengthen this area of work. And second, we have specifically dedicated branches and for CCB from the 37 different branches and over 400,000 branches, we have a selected 60 of them on the 28th of February as our pilot branches. And these are our solid foundations for the branches, and they have great facilities, and it's very easy for the elderly to have access, and we also see that there are a lot of elderly customers already. In the meantime, we are also building up a community-based micro ecology for pension finance. And going forward, we'll continue to launch more of these business. And thirdly, we continue to expand the coverage and so that it can benefit more citizens. For the third and -- second and third pillar of the pension, and at the moment, it is still quite narrow. So for our business, for instance, annuities and our new business, we are looking at targeting new businesses and new customer groups. So we are helping with people who are not included in the -- in general pension systems and to further expand the pension service provided to them and in the government report this year, as I said, that personal pension pilot scheme will be fully launched. And we already have, for instance, our fund and wealth management, insurance, trust, et cetera, and our next step we'll continue to build up CCB's pension-related finance and wealth management insurance business and to ensure that for our citizens, we will launch products that they can purchase at ease and without any worry and products that they can understand. And in the meantime, to help our citizens and individuals to make sure that they can have an elderly retirement without worry and with personalized asset allocation to meet their demand. So we are building up this comprehensive system. And number 4, we continue to increase our comprehensive service capability, and the silver economy is a very important part of the economy and only with the continuous strengthening of silver economy so that our pension business can finally become a realization of the beautiful life for our citizens. And this is a very important part of us building the 1314 pension financial services system for CCB. We will continue to strengthen our efforts in these areas. And we will look at, for instance, a very comprehensive financial investment tools, such as equities, REITs and bonds, et cetera. And recently, we are also building up our public funds and private equity and the risk products, and all of these will be a very important part of our products provided to the public. And the next step, we'll continue to focus on resolving the pain points and difficulties of the customers and using [indiscernible] as our main product and to further strengthen our platform and to continue to make sure that our 1314 pension service system could further flourish and prosper and benefit to the whole society.
Liurong Sheng: Thank you. Now we will take another question from Hong Kong.
Unknown Attendee: From Hong Kong Economic Journal. I'd like to ask a question about inclusive finance, including loan volume scale, pricing, asset quality, et cetera. At present, with the withdrawal of deferred principal and interest payment policy, will your asset quality for inclusive finance be affected?
Liurong Sheng: Thank you. Mr. Wang will take the question.
Bing Wang: Thank you. CCB thoroughly implements the instructions from the CPC Central Committee and the State Counsel on inclusive finance. We are the first bank that set inclusive finance as our major development strategy. We have strengthened the supply of inclusive finance products. We are committed to digital transformation. We have our own strategies. We acquire customers in a large scale. We have customer profiling, and we can achieve risk management and customer categorization digitally and smartly. These are some innovative service model in inclusive finance. We can give full play to our ecosystem, and the model of CCB  has also become the benchmark for PBOC and recognized by other banks. In terms of the width of our services, we align our business with the fast growth of market entities. We can comply credit supply and the financial demand of our customers. We have launched a series of campaigns that benefit the work life and business of our citizens through online and offline customer acquisition systems. We can strengthen the customer acquisition of inclusive finance and expand the coverage of exclusive finance customers. And through different customers, we can provide them with different products. And looking at the demand for different financial services, we launched the new version of Huidongni 4.0, and we have established a comprehensive service ecosystem with credit financing, comprehensive financing and operational management so we can acquire customers more efficiently. By the end of 2023, we have 3.173 million customers for inclusive finance loans having 647,000 new customers increasing by 58,000 customers. The loans for inclusive finance were RMB 3.04 trillion, an increase of [ RMB 6,912 -- 991 billion ], an increase of RMB 213 billion. So we are one of the largest financial institutions in inclusive finance. In terms of loan pricing, we are committed to reducing fees and benefiting customers by leveraging the technology, especially fintech and digitalization, we reduced the cost of operational business, and we can benefit the customers better. In 2023, the loan interest rate were 3.75% on average, 25 basis points down compared with 2023. At the same time, we allow customers to redraw their loans based on their needs, and their interest will be calculated on a daily basis so we can further reduce the financing cost of small and micro businesses. Regarding the asset quality question, I'd like to give the floor to Mr. Li from the credit department.
Unknown Executive: Due to the market environment, we are faced with some pressure in asset quality in inclusive finance, but the risk is under control. The asset quality is still better than the average level of corporate financing. In terms of policy execution, especially while implementing the instruction from the national government on deferred payment of interest in principle, we tried our best to target different customers with differentiated policies. So we can address the demand from customers in deferred payment so we can mitigate some risks. In 2023, the loans were down by 90% compared with the beginning of the year, this is for micro and small businesses. And now the existing loan were only 0.2% of the total loan balance. As for SMEs, with the policy to allow them to defer the payment, the impact on our back is limited. This is totally under control.
Liurong Sheng: Thank you, Mr. Wang, thank you, Mr. Li for the answer. Now we will give the floor to Beijing.
Unknown Executive: We welcome this gentleman on the right-hand side on the fifth row.
Yingqi Lin: I am Lin Yingqi from CICC. I would like to ask about mortgage as well as consumption loans. First of all, we can see that during Chinese New Year, and there is a lot of consumption actually. And so do you see that for consumption loan this year, is it going to increase in terms of -- it's a percentage in your newly given out loans and the other one is on real estate. We can see that the loosening power -- loosening of the policy of real estate. And do you see the demand recovery? In the meantime, do you see the people paying their mortgages ahead of time, has that returned to normal? And finally, with the current situation, what is your next step and plan for the real estate sector?
Liurong Sheng: We have Mr. [indiscernible] to answer this question.
Unknown Executive: You asked about the 4 questions. The first one is on personal loans. And for CCB, we continue to focus on personal loan development. We actively provide loans for individuals, for small and medium business owners and farmers, et cetera. And for the first 3 months of this year, we can see that. So for our individual loans, not including credit card and the newly extended amount is RMB 780 billion, about RMB 60 billion more than last year same period. And for this -- versus the same period last year, it has grown faster than last year. And for the next step, we will continue to focus on individual loans. Second, you have also asked about mortgage demand. Looking at our bank's data, since March for residential mortgage, especially second-hand mortgages and the quarter-on-quarter percentage has recovered, and we'll continue to monitor this slowly and to continue to better meet the housing demand of the citizens, whether it's the structural demand or upgrading demand. And thirdly, you asked about making payment ahead of time. We have also noticed that in terms of the existing mortgage rate adjustment, it has reduced the mortgage payment of the customers. So in a way, it will help and reduce the situation of early repayments. And for our bank in the first 3 months, the early repayment versus the last quarter, there is a decline to some degree. And fourthly, with respect to next work plan and arrangement, I think that given the current market on one hand, we'll continue to meet the reasonable financing need of the supply side of real estate. And on the other hand, we will continue to provide good mortgage services and especially to provide mortgages in 3 areas. And the first one is to continue to optimize our online process. For instance, the online mortgage approval process and to further improve the efficiency and better customer experience. Second, we ensure that the individual loan services for the guaranteed social housing services and this year, in [indiscernible], we have signed and individual mortgage agreements for the social housing and for social housing, basically to provide financing services to them. And in this area, we will continue to work hard in this aspect. And thirdly, we will continue to help with the county level for the farmers building their own housing, and we have noted that some of the farmers that they built their own house and so we have a product called Beautiful Village housing loan to meet their self-building demand. So with all these areas, we'll continue to further consolidate and strengthen our financial services in the mortgage sector.
Liurong Sheng: Thank you, Mr. Li. We will now take another question from Hong Kong.
Richard Xu: Richard Xu from Morgan Stanley. I'd like to ask a question about fees. In recent years, the overall growth rate to fee income in the banking industry has slowed down, but we have noticed that the CCB's fee income is still growing. What are the main factors? How is the fee income trend expected to be in this year? And what are the main areas of growth? Insurance and funds have seen lower commission income, and to what extent is it going to affect your fee income in general?
Liurong Sheng: Well, Mr. Liu will take the question.
Fanggen Liu: Thank you for the question. Fee income is an important component of our income structure. And the percentage of fee income is also exemplifying our operational capacity. As you said, due to different factors, fee income across the banking industry has been slowing down faced with these challenges in 2023. On the one hand, we reduced fees and benefit customers to support the real economy. On the other hand, we adjusted business structure to advance revenue structure adjustment. So the fee income has relatively been stable and the structure of commission fees has been optimized. [Audio Gap] of our fee income. We have seen fast growth in consumer finance products in terms of commission fees. Credit cards and third-party payment have seen 2-digit growth. We have observed very positive momentum in wealth management. As you are aware last year, in Q4, there was a slowdown in agency fees from insurance business, and we have achieved, however, a 2-digit growth rate for insurance business this year. And our custodian business has surpassed the mark of RMB 20 trillion in its income. We have improved our capabilities to serve corporate business with increase in revenue in agency business. Consortium loans, [Audio Gap]. In terms of challenges, fee reduction is most imminent. I'm sure this is a common challenge that all the banks will have to face. Wealth Management is in the era of low fee, if you will. Insurance fund and custodian businesses have been faced with the regulatory requirement for lower fees. In terms of insurance business, we expect that there will be a 30% decrease in the agency fees. In short term, reduction of fees would also put some pressure on our fee income. But in fact, reduction of fees will galvanize us to shift our focus from pricing to high-quality development. We should see the trend of macroeconomic recovery. On the one hand, with the establishment of a multilayer capital market, there will be very good prospect in investment, financing and advisory business. As you're aware, we have the highest number of financial licenses among all the banks in China. We have advantages in customer base, channels, brands and compliance. Given these advantages, we can better work with our -- we can facilitate the coordination of our commercial banking and investment banking business and also between our headquarters and branches and also overseas and domestic business to meet the demand for multiple financial services. Last year, the multiple financial scenarios provided good opportunities to credit card businesses and also third-party payment business. Thirdly, the diversification of investment and wealth management give us good opportunities. In China, bond-based funds and monetary funds as well as wealth management products will remain the first choice for individual customers. The customers have a strong demand for insurance products and precious metals. This diversified financial needs will offer a good opportunity for us to enhance intermediary business. Going forward, we are going to step up our measures in 3 aspects to maintain growth in fee income. First of all, we will give full play to our advantage in corporate and commercial businesses. In the areas, like cost estimation, we will enhance our corporate services, and we will target the emerging industries, high-end manufacturing, and we will explore more opportunities for M&A, bond underwriting and financial advisory business. We must improve the quality of our customer accounts, and we will take the opportunity of digitalization to improve the quality of our transaction bank. Second of all, we need to consolidate our advantage in retail banking to expand the coverage of our wealth management product. In wealth management, funds, insurance, precious metals, bonds, we will increase the product coverage. We must seize the opportunity of domestic consumption and other domestic policies to drive the increase in transaction volume and revenue of credit cards and third-party settlement. Thirdly, we must enhance the building of our research capability in wealth and asset management. We must offer more open, diversified and high-quality product mix to increase the contribution of asset management business. In the beginning of this year, we devised a plan for the fee income in this year, and we have strengthened our resource allocation and assessment initiatives. So through these measures, I believe we can stabilize the fee income in this year. Thank you.
Liurong Sheng: Thank you very much. We have already made our result announcement. So we also have an investor hotline as well as a platform and the e-mails to receive questions. So today, we also have opened up our online platform. And so we also have investors asking questions. I have just received a question from my colleague. And most of the questions, the management team have already answered. There's one question that coming from the investor, which is regarding capital and dividend. And the question is with the new asset rules being implemented and how much of an impact does this have for the CAR ratio for CCB and TLAC asset requirement pressure, what is like at the moment in the next 1 or 2 years, of course, CCB would you be able to maintain the current dividend level?
Jinliang Zhang: I'll take this question and as the question goes, so with the new Basel III and on 1st of January this year has officially implemented in China, and this is also a great measure that signifies the Chinese banks being integrated with the international supervision concept as well as with the international rules. And with the new Basel III rules, and in terms of the asset measures, it has restructured the 3 risks as well as the calculation measures for the risk-weighted assets and has also further deepened the second pillar application. It has also further enhanced the transparency of information disclosure and the market binding capability. And overall speaking, this is to ensure that the commercial banks will continue to adopt a very prudent fashion. So on one hand, to continue to ask the banks to improve its management capability. And for our management team, we attach great importance to the work of this new asset measures. In the meantime, we are also striving to meet the target and the center that set out in this new standard. So last year, through with our home headquarters as well as the domestic and overseas institutions, our front, mid and back end, we continue to look at and assess the impact of new measures. In the meantime, we have also made adjustments to our work for our process as well as system made adjustment accordingly. And in the meantime, for our business system, we have also further developed our business system. And so far, in terms of all the preparatory work, they have been completed, and we would be able to ensure a very smooth implementation of this new measure. In terms of our calculation and in terms of the CAR ratio, it is beneficial to our CAR ratio and helps with our further improvement of our CAR ratio. So for 2025 with the TLAC meeting the standard, we don't really think that's a problem. And as we have heard from our Chairman, our CAR ratio is at 18%. And in the meantime, with the supplemental fund, we do not see any pressure. So our next step, there are a few areas of work that we need to do. Number one is that we need to continue to ensure the capital supplement from both internal and external sources. And first, we need to make sure that our profitability is stable, and therefore, in terms of our core capital support will be further beefed up. And secondly, we will also issue certain bond on the secondary market. And therefore, for our Board, we have just approved this and our TLAC bond and the issuance of the TLAC bond, and we hope that we would be able to issue this in quarter 3. So our -- the other bonds that we had already -- we had already had the plan and to issue that in quarter 2. And in terms of dividend and whilst we are preparing for Basel III and for all our business sectors and branches and subsidiaries will participate in this process, so that everybody would be up to speed with the regulations and to make sure that we would all be able to also develop our business and our CAR ratio would maintain at very stable fashion, and our focus is on 2028 to meet the TLAC requirement. So by end of 2024 and for 2025 meeting the target, that is not an issue. So on dividend, coming back to this topic. And first of all, I would like to thank all the shareholders and investors [Audio Gap] for your long-term support for our business. Chairman has already said that since 2015, we have been able to give out a dividend of RMB 1.15 trillion and maintaining cash dividend payout ratio at 30%. And for 2023, it has exceeded RMB 100 billion and EPS RMB 0.4. In terms of dividend ratio, our payout ratio is more than 9% from the Hong Kong Media's analysis. And with a 9% dividend, payout ratio has become the best wealth management tool that he has adopted last year, and we also hope that we can continue to maintain this dividend payout ratio and the 30% will maintain. Going forward, we would also like to take this opportunity to announce that for the CSRC has launched an opinion paper on further strengthening of listed companies, and it is encouraging listed companies to pay out a dividend more frequently. And at the moment, we are also considering all these various factors. And for us of course, we -- whilst abiding by the law [Audio Gap], we will be continue to push forward for the dividend payout to work in a stable fashion. In the interest of time, we pass the last question opportunity to Beijing.
Liurong Sheng: We will now take another question from Beijing.
Unknown Attendee: From a rural financial daily. I'd like to ask a question about rural revitalization. What does CCB plan to do in terms of rural revitalization? Can you just talk about the progress of rural revitalization and the positive impact of that business.
Liurong Sheng: Thank you. Mr. Li will take that question.
Unknown Executive: Thank you for the question. CCB thoroughly implements the spirit of Central Financial Work Conference, Central Economic Work Conference and Central Rural Work Conference. We have been striving to improve the service system for rural revitalization. We have done 2 things. First, we have created this Yunongtong financial service package. As for offline services, we have 300,000 service entities. And online, we have created a mobile application, which offers smart rural business, e-commerce, administrative services and financial services. Based on this mobile app, we launched a special credit card for rural revitalization. As of the last year, we have issued 30 million cards of this kind, and we have seen the increase of loans of RMB 80 billion. And second of all, to the villages, we have created service package featuring loans through the data collection from different aspects, we can offer production or operation-based loans to villages. And second, we have a product package for rural entities, especially small businesses by the end of last year. The total agriculture loans were RMB 3.82 trillion, an increase of RMB 810 billion compared with the beginning of this year were an increase of 27%. And both the incremental volume and the growth rate were the highest on record. And technically, we have created the professional scenarios for agricultural-based business. On top of the businesses that I mentioned, we have created some industry verticals that are beneficial to agriculture business. For example, in agriculture specialties, especially supply chains, we have some pilot projects, including a vegetable project in Shandong and crayfish project in Hubei and edible fungus project in Fujian. Through these scenarios, we could offer comprehensive financial services to different customers in the industrial chain. And besides that, to facilitate governance at the rural level, we devised a system that facilitates the transactions and credit rating in rural areas. So we can offer comprehensive services to rural governments and organizations. Fourthly, risk management. Risk management is the lifeline of agriculture business. We focus on the features of risks in rural business. We have strengthened risk warning and risk control mitigation measures. In general, agricultural loans have been doing pretty well in risk management. The rural revitalization business of CCB will give rise to agricultural loans and other financial business, and it will also facilitate our county level business. In 2023, the average deposit across the counties in China have recorded a growth rate of 16.92% higher than the average growth rate of deposits across the bank by 1.63 percentage points. The growth of personal customers at county level is 2.63 percentage points higher than the growth rate of customers across the bank. So that means the county level business has been a driver of the overall business of the bank offering a strong support to the bank's business.
Liurong Sheng: Thank you very much, Mr. Li. We have come to the end of today's Q&A session. With respect to the questions that our investors are very attentive about and we have had a very deep and thorough and interactive session, and we hope that the answers provided by our management team will help our analysts, investors and friends from the media to better understand our business performance as well as our development logic. Perhaps that you still have more questions. And if you do, please feel free to get in touch with our IR team as well as the Board Secretary Department. And we would like to thank you again for participating in today's results announcement, and we wish you good health, and we'll see you next.